Operator: Good day, ladies and gentlemen, and thank you for standing-by. Welcome to the VimpelCom Fourth Quarter 2013 Investor and Analyst Conference Call. At this time all participants are in a listen-only mode. Later we’ll conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions). As a reminder today’s call may be recorded. It is now my pleasure to turn the call to Mr. Gerbrand Nijman. Sir the floor is yours.
Gerbrand Nijman: Thank you. Good afternoon to those in Europe and good morning to our guests from the United States. Welcome to our Q4 and full year 2013 financial results conference call. Before getting started I would like to remind everyone that forward-looking statements made on this conference call involve certain risks and uncertainties. These statements relate, in part, to the company’s expected capital expenditures, 2014 annual report, network developments, re-financial plans and potential future dividend payments. Certain factors may cause actual results to differ materially from those contained in the forward-looking statements, including the risks detailed in the company’s Annual Report on Form 20-F, and other recent public filings made by the company with the SEC, including the accompanying earnings release. The earnings release and earnings presentation each of which includes reconciliations of non-GAAP financial measures referenced on this conference call can be downloaded from the VimpelCom website. At this time I would like to turn the call over to our CEO Jo Lunder.
Jo Lunder: Thank you. Welcome everybody and I have a strange voice today. I think I’m embarking on the flu here, so it’s not the numbers, it’s the flu. If you don’t recognize my voice but I think I’ll carry through. I’m joined here in Amsterdam with Andrew Davies, our CFO and he is going to cover the financials more in detail later on the call. During the fourth quarter our results continue to be impacted by competitive pressure be it price competition, regulatory headwinds, unstable market environment and also some markets slowdown for our businesses. As a result of this the Group reported service revenue decline of 6% year-on-year to $5.3 billion, but we continue to enjoy strong mobile data revenue growth across most businesses. EBITDA decreased organically 2% year-on-year as a result of the decline in revenue but we continue to demonstrate strong cost efficiency, delivering an increased EBITDA margin of 1.6 percentage points to a strong to 43.7%. We closed the year with solid overall customer growth with an increase of 4% year-on-year to 220 million mobile subscribers driven by growth in our business in Europe. I am moving to slide four. Our underlying full year results were stable if we exclude impact from MTR reduction in Italy and one-off charges we had during the year. Revenues and EBITDA on an organic basis declined modestly for the year, falling by 2% and 1% respectively. Again, despite the headwind we faced during the year, the commitment this Group has to cost efficiency delivered an increase in margins of 0.3 percentage points leading to an EBITDA margin of 42.7% in 2013 as a whole which is in the high end in this range. Net losses was $1.4 billion, reflecting non-cash impairment charges of $3 billion, mainly related to businesses in Ukraine and Canada. Andrew will address this much more in detail later on the call. Our operating cash flow for the year declined 5% but remained at a solid level $5.4 billion. The results demonstrate that we continue to deliver on our values and the priorities and we are particularly successful in operational excellence, cost control and also effective use of capital. However we need to make more progress on growing the top line. The initiatives that we presented in our recent Investor Day and also effectively monetizing investments we are doing in high-speed data networks is key building blocks in addressing the top line growth in all our markets. I’m sure we are going to talk about individual markets a bit later on the call during the Q&A as well. If I then move to the recent key developments in January, we announced our annual target for 2014, we expect revenues and EBITDA to remain stable year-on-year and also stable net debt-to-EBITDA at 2.3 times. As we continue to invest for growth, we expect CapEx to revenues, excluding licenses to increase to 21% in 2014. We also announced a new dividend policy to support our investments for future growth for mobile data and to deleverage. We aim to pay US$0.035 per share per annum until the target level of less than 2.0 net debt-to-EBITDA has been achieved. In October we launched 3G services in Bangladesh after we were rewarded the license in September. In December our subsidiary in Algeria OTA was granted 3G license and we received an exceptional approval for foreign payments to acquire 3G equipment. As a result OTA imported its first 3G equipment to begin building the network and we plan to launch 3G in Algeria in the second quarter of this year. Today we also announced that we aim to extend the maturity of the shareholder loan to GTH which is subject by the majority of the minority shareholders of GTH’s approval. Moving on to the performance of our business units, the Russia, the Russian business unit has entered its next phase on transition, is involving customer excellence, data network parity and distribution. The transformation process feels like turning a containership and is expected to run over the coming years. Our management team is building a customer-centric organization focusing on customer excellence and implementing a cultural transformation in customer service. Beeline introduced a new customer value preposition supported by clear communications to improve customer perception. And we believe perception is a big challenge right now. We are also simplifying tariff portfolios, we’re reducing the number of different options while addressing specific needs. The actions undertaken are expected to improve customer perception over time with a positive effect on future growth and better relative performance. But the mobile service revenue declined 2% year-on-year. This is mainly due to one-off adjustments in the fourth quarter of 2013 and if we exclude these one-offs mobile service revenues would have increased only marginally. Mobile data revenue grew 25% in the quarter, EBITDA decreased 6% due to the lower revenue and also rising network and IT cost as a result of increased demand driven investments as well as increasing HR cost due to the expansion in the roll out of owned monobrand store. EBITDA margin declined slightly but remained still solid about 40% at 40.3%. CapEx to revenues increased to 20% in 2013 due to the increased investments in the mobile data network and the owned monobrand stores. In terms of 3G coverage, as I said also on the Analyst Investor Day we are now at parity with our peers in key regions and we have built 8,000 additional 3G base stations in 2013. We plan now to continue to invest more in high speed data networks in 2014 and we expect CapEx to revenues at 22% for Russia for the full year 2014. I am sure we’re going to talk more about Russia during the Q&A session but if you allow me, moving on to Italy WIND continued to our perform the market again in the fourth quarter in what we discover is a highly competitive environment, delivering again a strong relative performance. Our mobile customers increased 3% to well over 22 million driven by the success of an all-inclusive bundle which continued to attract customers due to simplicity and transparency. Mobile service revenues excluding the impact of mobile termination rate cuts declined 3% mainly as a result of competitive pricing pressure. Mobile broadband revenue was up 30% while fixed broadband revenues were up 6% as a result of our strategic focus on unbundling. EBITDA in the quarter declined by 3% due to negative impact of the price competition in the mobile market and also NTR cuts. However, it was partly offset by cost efficiency measures. As a result EBITDA margin increased to 40.4%. In the fourth quarter we continue to expand our HSBA plus network to remain competitive. Looking ahead we continue to see opportunity of strong value creation in Italy, further enhanced by the launch of the fourth quarter LTE services in Rome and in Milan and also in the main airports we see upside in Italy. In the Africa and Asia business unit revenue decreased 5% organically impacted by regulatory and government actions in several countries as well as unstable macro environment in Pakistan and Bangladesh. In addition local currencies in Algeria and Pakistan devaluated against the U.S. dollar leading to 8% decline in reported revenues for this business unit. In order to mitigate the top line pressure we implemented a number of cost efficiency measures which led to a 3% organic decline in EBITDA with the margin increasing by 1.2% percentage points to 46.7%. We are now investing in high speed data networks in Algeria and Bangladesh following the award of 3G licenses and we are also now modernizing our efforts in Pakistan to also enhance data and voice services there. And as you’ve probably seen that there is a 3G auction also now embarking in Pakistan. Going to the three main countries Algeria revenues decreased in local currencies by 3%, the subscriber base grew 5% to 80 million and you see we’re able to maintain its market share of 53%. EBITDA margin remain very strong at 58.3% in Algeria. Our performance in Pakistan declined with revenues down 6% in local currencies and EBITDA was down 18% mainly due to persistent power outages and increased electricity prices resulting in higher network costs. In Bangladesh our subscriber base grew 11% while revenues over here decreased 11% mainly due to unstable macro environment. Mobile data revenues grew 86% driven by solid customer acquisition and success of partnerships with OTT, examples here are the things we’ve been doing with Facebook, Wikipedia and Whatsapp in Bangladesh. EBITDA decreased by 20% mainly as a result of the revenue decline coupled with higher customer acquisition cost and of course voice-over-IP is also an element in explaining Bangladesh. In Ukraine our results were pressured by the transition to lower price bundled tariff plans but we continue to deliver good margins. Revenue decreased 9% reflecting a decline in mobile service revenue primarily due to lower mobile voice revenues following the switch of existing customers to the bundled tariff plans. On a positive note for Ukraine mobile data revenues demonstrated continued growth and it was up 12% year-on-year and remember there is no 3G in Ukraine yet. Our mobile customers increased by 3% as a result of our improved commercial proposition and the regionally focused sales efforts. Fixed-line revenues increased 15% as a result of strong growth in fixed residential broadband which continue to outperform the market. This increase was driven by growth in both broadband customers and related ARPUs. EBITDA decreased 18% primarily due to higher commercial cost driven by growing sales as-well-as increase in network IT and G&A cost, EBITDA margin remained high at more than 47%. We continued to execute on our ongoing Kyivstar transformation program and I expect this program to yield results this year. In relation to the recent events in Ukraine we have not experienced any impact on our operations and our business continues as usual. The CIS business unit continued to deliver solid results in the last quarter of the year with a 5% revenue and EBITDA organic growth resulting in a strong 48.4% EBITDA margin. In Kazakhstan our competitive market position improved as a result of attractive value propositions and the customer transition to bundled tariff plans, which is progressing according to the plans we’ve given earlier. Service revenue in Kazakhstan increased by 5% in the quarter driven by a 2% growth in mobile service revenues and a 41% increase in fixed-line service revenues. EBITDA grew 9% and EBITDA margins increased 1.5 percentage points to a strong level of 47.7% again as a result of the efficiencies delivered by the operational excellence program in Kazakhstan. Uzbekistan is currently a two-player market and our focus there is on maintaining our quality of service and basically further improving our network capacity. We expect they will become a three-player market again in the second half of this year. With this I’ll now pass the floor to Andrew to discuss our Group financials and performance in more detail. Andrew?
Andrew Davies: Thank you, Jo and a welcome from me as well. So moving on to slide 13, our revenue in the fourth quarter has been negatively impacted by regulatory and governmental actions in the Africa and Asia business unit which include the ongoing limitations in Algeria together with MTR cuts and price competition in Italy and market slowdown in certain other countries. EBITDA decreased organically by 2% year-on-year to $2.4 billion reflecting negative impact of the MTR cuts and the price competition in Italy as-well-as the VoIP effect in Bangladesh. EBIT in the fourth quarter decreased to a loss of $1.9 billion primarily due to the non-cash impairments of $2.9 billion. The impairment on Ukraine is related to group macroeconomic and political developments leading to an increase in the [company’s] premium and weakening operational performance. Additionally the company fully impaired its investment in Canada related to the strategic decision to withdraw from the recent 700 megahertz spectrum auction and reassessment of future prospects for continuing operations in that country. We remain committed to serving our customers in both countries and in the short-term we expect there to be no impact on our operations. Overall the net loss attributable to VimpelCom’s shareholders in the fourth quarter was $2.7 billion resulting from the impairment charges together with lower underlying profit before tax and higher tax expenses. Full year revenue and EBITDA was stable organically, excluding MTR cuts in Italy and one-off charges but also declined by broadly by 2% on a reported basis compared to last year. However EBITDA margin increased by 30 basis points to 42.7% due to our successful operational excellence programs. 2013 EBIT decreased mainly due to non-cash impairments of $3 billion for the full year related to Ukraine, Canada and some smaller impairments. Overall the net loss attributable to VimpelCom’s shareholders in 2013 was $1.4 billion reflecting these impairment charges and an increase in tax which I will explain on the next slide. On slide 15, we are explaining two things. So first of all why we actually had a tax charge in the year when we have a loss before tax and secondly why there is a year-on-year increase in the tax charge. So if I address the first of these, clearly the most significant impact is the impairment, it’s a non-cash item, clearly non-deductible from a tax perspective and the impact that has on the effective tax rate is $743 million which is 25% of the impairment amount. So that’s the main reason why we see a tax charge for the year despite having a loss before tax. In addition the increased year-on-year tax charge is related two things. So first of all in the third quarter of 2013 we took a one-off charge of roughly a $120 million related to the withholding tax on distributable reserves in OJSC VimpelCom which we had previously thought would not be distributable. And secondly we’ve had an impact on the different tax rates between our jurisdictions which is again a roughly $120 million year-on-year. If we exclude the impact impairments on the prior year adjustment the normalized effective tax rate for the full year was approximately 35%. So moving on to slide 16, you can clearly see here the impact of the non-cash impairment charges on our net income for the year. Excluding these impairments we would have a realized a net profit of US$1.5 billion. Our operating cash flows declined marginally year-on-year mainly due to both the slight decrease in EBITDA and accelerated investments in high-speed networks to drive future growth in mobile data. Interest paid was higher in 2013 than in 2012 when we had the benefit of the unwinding of certain interest rate swaps. Net cash flow before dividend payments declined slightly to $2.2 billion and the single biggest impact on our end of year cash balance came from the dividend payments in 2013 of a net $2.7 billion. As you can see from slide 18, our financial position remains solid. Our debt maturity schedule remains reasonably well balanced over the coming years. There is a peak in the maturity profile in 2017 caused by maturing debt in Italy which we plan to address before its maturity. Total gross debt was $27.5 billion at the end of the fourth quarter with an average weighted interest rate of 28.3% in the quarter. At the end of the year our net debt was $22.6 billion leading to a stable net debt-to-EBITDA ratio of 2.3. You can see that our balance of foreign exchange exposures and gross debt remains diversified across the Euro, Ruble and U.S dollar. On slide 19 we address our exposures to currency movement. On this slide we provide you FOREX sensitivities on revenue, EBITDA as-well-as for gross and net debt. And as you can see we have manageable impact on the group for potential movements in foreign exchange rates. So if I just pick one number to illustrate here as an example, on the top line what we are saying is revenue would be impacted by plus or minus 4% if the Ruble-Dollar exchange rate moved by plus or minus 10%. Through our multi-currency exposure we actually enjoy a form of natural hedge on currency movements. As an example the recent weakening of both the Ruble and hryvnia against the dollar has been compensated by the strengthening of the euro against dollar. And with that I’ll turn the floor back over to Jo.
Jo Lunder: Thank you, Andrew. Moving to the last slide, slide 21. It’s not been an easy year but despite the competitive pressure, the regulatory headwinds, unstable macro environments and also market slowdown our business has continued to hold up well with a stable 2013 underlying revenue and EBITDA. We also continued to see strong mobile data revenue and subscriber growth in our markets. And if we look at weighted average market share for the group it was also stable in 2013. It went up in certain markets, it went down in other markets but if you look at our weighted average it was stable for whole group. So it’s more market related issue rather than a performance driven issue on Group level. We need to focus on Russia and we are undertaking a transformation process in Russia. We have been able to close the gap on that for parity and also monobrand and now we move into the next stage and we need to focus on the customer value proposition. It needs to be simple, it needs to be convenient, it needs to be personalized, and we need to work hard to protect our customer base and also to protect our high-ARPU customers. We need to upgrade customer service and at the same time, we need to continue to invest so that our high-speed data network is of the same quality as our competitors. The transformation process right now feels a little bit like turning a containership and it looks like it’s going to take a bit longer than I personally expected in the first place when Peter [Mainbury] committed to the task and I believe we’re doing the right thing. In Italy, which is the second biggest market, we once again outperformed competitors and we were also able to maintain a strong EBITDA margin in Italy. So it’s a strong combination of margin and our performance over competitors. And overall, VimpelCom continues to deliver on of the highest EBITDA margin in the industry, the underlying cash flow from operations are solid and that makes it possible for us to invest in our businesses going forward. I think that is a fair summary of how we see the year and the last quarter, and with this we are of course ready to discuss the numbers and take questions. Operator?
Operator: (Operator Instructions). And it looks like our first phone question will come from Cesar Tiron with Morgan Stanley. Please go ahead. Your line is open.
Cesar Tiron – Morgan Stanley: Yes, hi. Thank you. My question would be to understand a little bit the dynamics of the recovery in Russia because if we look at the revenue trajectory over the first couple of quarters and also the macro headwinds that the country could face, your guidance of 0% revenue growth which obviously should imply also 0% also in Russia or be even positive growth because Italy isn’t going to grow this year most likely. How do you see that possible and what I mean – how many quarters do you think we need to wait to see the performance gap between Beeline and competitors basically improving?
Jo Lunder: Cesar I think it’s a very solid question to start with. If we take one step back and go back to the beginning of 2012, I think clearly we realize that we have under invested in the networks and distribution and as everybody knows by now we took on a plan to create network parity and also parity on monobrands and distribution. Those two tasks have been executed and fulfilled, so when now measure network quality in key regions we see that our network is performing well. We also have a good monobrand coverage on the distribution side and then the novel question is of course why is this not then yielding top line results in-line with competitors and I think probably we have underestimated the perception issue among subscribers, that one thing is to catch up and bring parity and spend two years on that. But during that catch-up I think probably we have underestimated what that is doing to perception of existing customers and others and when you look at subscriber base development in the last quarter of the year, it’s clearly from those numbers that we have a challenge when it comes to general subscriber growth compared to competitors and also high ARPU subscribers in our base if you look at the ARPU, and we clearly understand this. Management team in Russia understands this. We have plans to execute on this. We will not be short-term oriented now so we are investing a lot this year even though our revenues are not growing because we think there is the real basis for parity also on revenue growth eventually but we now need to turn that perception among subscribers in Russia and make them understand that our network quality and service level is equally good and we need to win back higher ARPU subscribers. This is going to take more time than I realized a year ago. I underestimated the perception element of this transformational process and that’s why also you see the containership analogy in my short intro. It’s hard to say exactly when we will see results but I think it’s going to take us more time than expecting to see results in the next two, three quarters. This is probably ‘14 we will see probably under-performance in the beginning of the year, first half of year, hopefully a stabilization later in the year and I think probably at the earliest ‘15 is a year to start seeing more parity again on revenue growth and of course we worked hard to make this a quicker timeframe in terms of achieving results but we see it’s a challenging task and I think we just need to be strong right now a take a very long-term view. Russia is our core markets. We are now investing in LTE network and it’s going to last for 10 years, and now to do short-term gains to satisfy the next quarter or the third quarter we will do this now very fundamental, take a very sort of – very fundamental view on what is required and do the job and rebuild whatever trust that needs to rebuilt. And I think the task is clear to everybody and the problem is clear to everybody.
Operator: Thank you. And it looks like our next question will come from Torsten Achtmann with JPMorgan.
Torsten Achtmann – JPMorgan: Good afternoon, and in Italy service revenue growth has been deteriorating and I’m wondering if you could comment on what the impact of the recent price increases and less competitive behavior will have. So is that something that we are going to see more in 2014 than in Q4, 2013 and any outlook there. Secondly on the Ukraine, is it correct that you have no debt in Ukraine, so any write-down you would have on the business there in terms of the currency there would be no offsetting effect on that? Thank you.
Jo Lunder: Okay. I will take both of those questions. So with regard to Italy, the headline pricing started stabilizing, end of Q3, early Q4 clearly but clearly there’s just the impact of summer price campaign rolling through the customer base a little bit. And so we are not expecting certainly Q4 numbers did not benefit from any pricing increase that you alluded to. We might see continued stabilization maybe bit of – a bit more plateauing and a bit less intense price competition in the first couple of quarters of this year and I would say that we are significantly beating our main competitors in the Italian marketplace with our overall value proposition. So we remain committed to Italy and we remain confident of our continued ability to win in the marketplace. With regards to Ukraine, so yes we have no debt in the country. We have a regular process because Ukraine is so cash generative, of paying dividends out of Ukraine into Amsterdam and we do that on a pretty regular basis through the year and again I would just remind you that the impairment charge that we took on Ukraine has nothing to do with the write-down of assets in Ukraine itself to do with any currency devaluation. The write-down is simply a write-down of the carrying value of our investment in Ukraine on the group’s balance sheet so it’s just simply an Amsterdam level entry.
Gerbrand Nijman: Next question please.
Operator: Yes, sir. And it looks like our next phone question will come from [Alva Vasco] with Credit Suisse. Please go ahead. Your line is open.
Unidentified Analyst: Yes, good afternoon. Jo you mentioned today on Bloomberg I think in an interview that you have sort of "you have valuable assets await consolidation." Can you maybe elaborate a little bit on that what you meant? How does it await consolidation, how should we think about your waiting consolidation, is there any progress on that? And also given that you have written down Canadian assets in full should we assume that you are not – sort of looking for options that you had at your disposable previously in terms of either sale or increasing ownership or maybe participating further in other spectrum auctions there. So you are basically giving up on the asset or you still will be considering those options as well? Thank you.
Jo Lunder: Okay, just for clarification. The first part of the question the reference you made on Bloomberg you asked about Italian end-market consolidation?
Unidentified Analyst: Yes, yes, exactly.
Jo Lunder: Yeah okay. What I said – I didn’t say anything different today than what I have said earlier on and I listen today’s and earlier calls as well that we think there is a big upside for our shareholders in Italy. We have a very well performing entity. We are currently carrying expensive debt that has a potential to be refinanced and interest rate as a consequence of that to be brought down. Those actions are within our control, those actions would kind of yield results for the group meaning continued outperformance and potential refinancing and on top of that of course there is a potential market consolidation opportunity in Italy. It’s been discussed earlier. We have told you that in general market consolidation is something we are in favor of if the terms are right, there is nothing to report today. There is – so this is more a reflections on the values baskets in Italy. So we remain very committed and positive as we are speaking to Italy even though the market has been difficult for years there now and we think that, that situation will eventually create good value for shareholders. We’ll take the time needed and assure that that we play this the best way in the interest of our shareholders. And then maybe Andrew can give us a little comment on Canada.
Andrew Davies: Yeah, sure, thanks Jo. So with respect to Canada, just want to be clear to set off that the impairment in Canada was related to the results of the recent spectrum auction. We strategically made a decision to withdraw from that auction process as a result of our inability to obtain some – yeah we [lost] control over that asset, the auction resulted in all spectrum slots being sold in the territories that we operated and as a consequence we have no clear path forward from an accounting perspective right now to be able to realize the enterprise value in Canada required to repay the shareholder loans, that’s actually the nature of our investment in Canada. However, we will continue to explore all options available to us and we’ll continue to fund and run the business on a continuing basis as we have done so for the last few financial years. So we continue to explore all options but could involve, again, in market consolidation it could involve sale of the business. We will not give up and we will do everything we can to generate positive shareholder value in Canada.
Gerbrand Nijman: Next question please.
Operator: Yes sir. Next phone question will come from [Eric Jones with Lundbeck]. Please go ahead. Your line is now open.
Unidentified Analyst: [Question Inaudible].
Jo Lunder: Can you speak up please?
Unidentified Analyst: [Question Inaudible].
Gerbrand Nijman: It’s really hard to hear you sir.
Operator: Eric, your line is open.
Gerbrand Nijman: Okay, move on.
Jo Lunder: Yeah, better.
Unidentified Analyst: Hello, can you hear me?
Jo Lunder: Yes.
Unidentified Analyst: Okay, perfect. Question is in fact back to Russia I was wondering basically I mean with all your competitors you know having given some intent of increasing significantly CapEx in Russia and for GLT and as you mentioned you need to change the perceptions with some of your subscriber base. I am wondering I mean how and where do you think you can at the most impact considering the current environment where everybody is spending more in Russia and where you may still be in the condition of catch up again? I was thinking is there anything, particular segment, a particular product where you think you can leverage and to make an impactful difference versus competitors of focusing your resource on a particular point rather than just generally just on purely overall investment.
Jo Lunder: Yeah of course it is and I think the whole industry is moving towards almost personalized marketing based on very advanced database model. So of course there is a lot we can do in terms of professional. I think the go to market offers and how we communicate and then present our products to Russian consumers so there is a long list of initiatives here and this is a key focus of the job. That being said of course the basic product here is almost the renaissance of the importance of networks. In the early days you had coverage and quality of networks being the main competitive advantage and then voice into high quality in general for everybody. It kind of turned a little bit more integration and other. Right now I think the industry again is moving in a direction where network quality and capacity has a growing importance and for that reason we will invest alongside with competitors in Russia and make sure that now 3G stays at par and that LTE also reflects what kind of offerings the others are having and that’s why we also saw the increased CapEx we announced for Russia in the Analyst Investor Day and this is the whole logic of getting back dividends alongside deleveraging. So the basic platform remains the networks and then of course there is many, many things we can do in changing perceptions and working more effectively with segments, sub-segments and even almost individual customers. And we are re-allocating people, systems and everything in this direction. I think frankly speaking, we do a lot of very, very good things but it’s going to take more time than some of us realize when the whole process started.
Operator: Thank you. And our next question will come from the line of Igor Semenov with Deutsche Bank. Please go ahead, sir, your line is open.
Igor Semenov – Deutsche Bank: Hi. Thank you very much. I have a specific question on the subscriber figures in Russia and Italy. There was a decline, a considerable decline in the sales figures in Russia and the churn picked up very significantly, is there specific reason for that? I mean, it just looks quite sharp relative to normalized or just perception issues in Russia. And similarly in Italy, I mean it’s not a such big decline but nevertheless over a 100,000 net churn. Can you provide reasons for that and where actually the churn seems to be improving, so what’s going on there? Thank you.
Jo Lunder: Andrew can chip in here, but on Italy of course the fact now that we have been seeing a price increase in the fourth quarter has led to lower gross adds, churn is stable and as a result of that [inaudible] and then we have seen historically those are difficult – we are seeing more benefits from maybe monetizing our subscriber base by having additional price levels offered rather than focusing too much on subscriber growth and revenue growth. So I think we have achieved a certain size in Italy now that will lead to more focus on the right price level and profitability margins going forward rather than subscriber growth. So Italy I think is very well thought through and a very logical kind of planned reason for it. Russia, of course in Russia we are also a little – moving in the seasons because we have a strong position in the so called [inaudible] segment which is workers from abroad coming mainly to Moscow to work during summer season and then going back during winter. So if you analyze Vimpelcom’s subscriber base development you will see that we normally perform better during the summer and weaker again during the winter. So that’s part of the picture. I think if you related to the announcement yesterday from Vodafone, you will also have an element of [Spartel] in there that helps them. So these are sort of factors that explain some of it but not all of it. The rest I think is about what I said customer perception that we need again to work hard to now protect our base and position our company so that customers understand that we have a basic product in place equal to the others. So, it’s partly what I said and again partly the perception problems I mentioned in the first answer.
Operator: Thank you, sir. Our next phone question will come from Olga Bystrova with Credit Suisse. Please go ahead. Your line is open.
Olga Bystrova – Credit Suisse: Yes. Hi, thank you very much. A quiver full of questions. Can you remind us what are the KPIs for the key management, top management within the company? Thank you.
Jo Lunder: Yeah, we focus on relative performance, revenue market share, we focus on cash flow related indicators. It could be EBITDA; it could be EBITDA minus CapEx. We focus on data revenue growth and we also focus a lot on so called net promoter score which is a proxy or an indicator of customer satisfaction. So there is nothing magic to this. I would say quite traditional KPIs that clearly reflect the value agenda of the company.
Andrew Davies: I would add to that, that the KPIs that Jo just described; all drive the short term incentive program. Then in addition there is long-term incentive program which is almost exclusively driven by share price performance and in particular relative to the share price performance of the telecom indices.
Gerbrand Nijman: Can we move to the next question please?
Operator: Yes sir. Our next question comes from JP Davis with Barclays. Please go ahead. Your line is open.
JP Davis – Barclays: Hi everyone. Can you provide some color around your risk management policies; you have in place to deal with geopolitical risks or may be asked in other way how do your management team prepare yourselves with potential challenges like cash repatriation and DSG issues and so on? Thank you very much.
Jo Lunder: Sure. I will just try to give you just two minutes on this rather than two hours. So we have a very well developed enterprise risk management program across the board anyway, which clearly has geopolitical risks as one of its facets. With regard to specifically to talk repatriation of cash, so we clearly ensure that we are paying dividends on a fairly regular basis from some of the emerging markets countries and in addition to the extent that we know that we are going to be paying dividend I hope from some of these countries, we tend to try to hold a lot of cash to the extent that we are allowed by regulations in dollar so that we are protecting the out flow or the up streaming of dividend. With regard to foreign exchange exposures more generally, what I would say is that, we do what 99.9% of corporates do which is we focus on hedging transactional cash flows country-by-country. So if I take Russia as an example within Russia, we would hedge that country’s local currency or that local country’s exposure to any dollar cash flow that it would have as an example rather than focusing on translation cash flows in terms of the impact the translating local currency results has – back in to dollars would have. And the reason we don’t do that is first of all in technical terms that is currency speculation. And second even if we wanted to do it, it will very, very, very expensive.
Gerbrand Nijman: We have time for one more question.
Operator: Sure. Thanks sir. Our final question will come from the line of Ivan Kim with VTB Capital. Please go ahead. Your line is open.
Ivan Kim – VTB Capital: Yes, good afternoon. Sorry to dwell on that but there was a significant revenue reduction in Russia on a year-on-year basis and there are seasonal effects from the migrants side of things but that more kind of quarter-on-quarter comparison. So I’m just wondering whether you saw some other effects behind that or whether you saw some exponential subscriber migration from like high service so probably you saw one-offs on the revenue side like fight again for your own content for example something we saw in the numbers before, any color would be appreciated. Thank you.
Jo Lunder: First of all, if you look at total revenues in Russia, equipment is down, that’s an element we haven’t touch upon so far on the call. If you look at revenues from calls it increased 2% year-on-year. If we adjust for some one-offs, some clean-ups we have done in SMS band and other things that we believe is now very useful by customer and that business going back to some and other things that we believe is not very useful for our customers and that this is going back to sort not building a transparent and trustworthy relationship to all of them. If you adjust for these one-offs it was more or less flattish, a fraction marginally up year-on-year. So that’s basically and of course when you compare to year-to-year we compare apples-to-apples so right now I would say that underlying mobile service revenue trend from Russia is flat. And we see the market growing and for that reason we’ll be coming again back to the fact that I think we’ve fixed the basics, it more a perception issues and it’s about how we grow our subscriber base, how we protect our subscriber base, how we protect our higher subscribers how we gain back our subscribers from others, how we monetize data. And here there is a long program. I think we have a plan in place that they will get us there. Unfortunately I think it’s going to take more time then I realized. It’s a big task at hand but I think we’re going to get there but that’s basically sort of the explanation over revenue trend and the big problem we’re currently facing.
Operator: Thank you, sir. At this time I would like to turn the program back over to management for any additional or closing remarks.
Jo Lunder: Right so it’s Jo here. So thank you to everybody for interest in VimpelCom and thank you for participating on the call today. Thank you for the questions. Of course IR is available for any follow-up questions you might have and all I can say is that we have a lot of work ahead of us, it’s been a not easy year 2013 and we need now to take a very fundamental long-term view on the business and make sure that we are doing the right thing. I think I believe we have the right people in place and I hope that we will be able to turn some of the trends during the year a little later than that and I hope that everybody will be back and looking forward to talk to you either on the road or on the next call. And with that I wish everybody a continued good day. Thank you.
Operator: Thank you gentlemen and thank you ladies and gentlemen. Again this does conclude today’s call. Thank you for your participation and have a wonderful day. Attendees you may all log off at this time.